Operator: [indiscernible] Please note, this conference is being recorded. I will now turn the conference over to your host, Alexandra Schilt of Crescendo Communications. Alexandra, the floor is yours.
Alexandra Schilt: Good morning, and thank you for joining Stran & Company's 2025 Second Quarter Financial Results and Business Update Conference Call. With us today are Andy Shape, Chief Executive Officer; and David Browner, Chief Financial Officer. The company issued a press release yesterday, August 12, 2025, detailing its financial results for the second quarter of 2025. The release is also available on its website. If you have any questions following today's call or would like any additional information, please contact Crescendo Communications at 212-671-1020. Today's remarks will include a review of Stran's financial and operational performance, followed by a Q&A session. Please note the company may make forward-looking statements during the call that involve risks and uncertainties, many of which are outside of its control. We encourage you to review Stran's filings with the SEC for a full discussion of these risk factors. With that, I will now turn the call over to Andy Shape. Please go ahead, Andy.
Andrew Shape: Thank you, Allie, and good morning, everyone. We are excited to report another quarter of strong execution, profitable growth and continued strategic momentum here at Stran. Our performance in the second quarter of 2025 demonstrates not only scalability of our business model, but also the resilience and strength of our team, our strategy and our commitment to delivering shareholder value. During the quarter, we achieved an impressive 95.2% increase in sales, reaching approximately $32.6 million. This strong top line performance was driven by a combination of robust organic growth, which accounted for a 30.4% increase and our strategic acquisition of Gander Group business, operating at our Stran Loyalty Solutions segment. Alongside the sales growth, gross profit rose over 80% to approximately $9.9 million, and we reported a net profit of $643,000 for the quarter, demonstrating the efficiency of our operations and the resilience of our model in a competitive market landscape. Delving deeper into our segment performance, our core Stran business segment generated $21.8 million in revenue during the quarter, reflecting continued expansion among both new and existing customers. Meanwhile, our Stran Loyalty Solutions segment contributed $10.8 million in revenue, demonstrating the success of our integration efforts and the incremental value the acquisition brings to the overall business. Gross profit margin stood at 30.3% for the quarter, with the segment -- with the Stran segment improving to 34.9% and the SLS segment operating at 21%. These margins illustrate our strategic mix of high-margin organic business and synergistic acquired revenue even as we manage through inherently lower margins of the Gander Group operations. In addition to our strong financial performance, I'd like to highlight additional strategic operational and governance milestones. One of the recent achievements for Stran was our advancements in the Promotional Products Association International prestigious PPAI 100 ranking. We were honored to be recognized as the 12th leading promotional products distributor in North America, marking a remarkable 8-place leap from our prior year position. We are also recognized by the Advertising Specialty Institute, ASI, which ranked Stran #23 in its 2025 Counselor Top 40 Distributors List, up from #27 last year. We believe these recognitions are a clear reflection of the operational scale we've built, the depth and strength of our client relationships and the industry-leading innovation we are delivering across branded merchandise, loyalty incentives and digital platform integration. It is also a powerful endorsement of the talented and dedicated team behind the Stran brand. Just as we are earning recognition from the outside, we are also reinforcing our internal governance with new leadership to support Stran's next phase of growth. We recently welcomed 3 exceptional leaders to our Board of Directors: Mark Adams, Sarah Cummins and Brian Posner. Each brings a unique and highly relevant skill set to our organization. Mark Adams has a deep background in media, digital transformation and private equity investment. Sarah Cummins brings experience in sports, consumer branding and global partnerships. And Brian Posner is a seasoned financial executive and governance expert, having served as CFO for multiple public companies. These additions are strategic and reflect the deliberate evolution of our governance structure to align with our broader goals of operational excellence, transparency and long-term competitiveness. In addition, following the successful conclusion of our 2025 Annual General Meeting, I am pleased to report that Stran is now fully compliant with all NASDAQ continuing listing requirements. Importantly, as of June 30, 2025, we maintained approximately $18.1 million in cash, cash equivalents and investments on our balance sheet. This strong liquidity position gives us the flexibility to continue investing in strategic initiatives and technology while also supporting shareholder value. Reflecting this confidence, we repurchased over 110,000 shares during the second quarter, demonstrating our continued interest in maximizing shareholder value and responsible capital allocation. As we move through the remainder of the year, we believe Stran is better positioned more than ever to accelerate growth, deepen client partnerships and expand our market presence. We remain focused on driving innovation, operating with discipline and most importantly, delivering long-term value to our shareholders. With that, I'll turn the call over to David Browner, our CFO, to review our financial results in greater detail. David, please go ahead.
David Browner: Thank you, Andy, and good morning, everyone. I'm pleased to provide a detailed overview of our financial performance for the 3 and 6 months ended June 30, 2025. Financial results for the 3 months ended June 30, 2025, sales increased 95.2% to approximately $32.6 million for the 3 months ended June 30, 2025, from approximately $16.7 million for the 3 months ended June 30, 2024. Sales by the Stran segment, which consists of the Stran business, not including the former Gander Group business, increased to approximately $21.8 million for the 3 months ended June 30, 2025, from approximately $16.7 million for the 3 months ended June 30, 2024. Sales by our SLS segment, which consists of the former Gander Group business increased to approximately $10.8 million for the 3 months ended June 30, 2025 from 0 for the 3 months ended June 30, 2024. Gross profit increased 80.5% to approximately $9.9 million or 30.3% of sales for the 3 months ended June 30, 2025, from approximately $5.5 million or 32.8% of sales for the 3 months ended June 30, 2024. Gross profit margin decreased to 30.3% for the 3 months ended June 30, 2025, from 32.8% for the 3 months ended June 30, 2024, primarily due to the acquisition of the Gander Group business in August of 2024, which operates at a lower margin than the Stran segment. Operating expenses increased 44.1% to approximately $9.5 million for the 3 months ended June 30, 2025, from approximately $6.6 million for the 3 months ended June 30, 2024. As a percentage of sales, operating expenses decreased to 29.1% for the 3 months ended June 30, 2025, from 39.4% for the 3 months ended June 30, 2024. Net income for the 3 months ended June 30, 2025, was approximately $0.6 million compared to a net loss of approximately $1.0 million for the 3 months ended June 30, 2024. For financial results for the 6 months ended June 30, 2025, sales increased 72.5% to approximately $61.3 million for the 6 months ended June 30, 2025, from approximately $35.5 million for the 6 months ended June 30, 2024. Sales by the Stran segment increased to approximately $42.7 million for the 6 months ended June 30, 2025, from approximately $35.5 million for the 6 months ended June 30, 2024. Sales by the SLS segment increased to approximately $18.6 million for the 6 months ended June 30, 2025, from 0 for the 6 months ended June 30, 2024. Gross profit increased 65.6% to approximately $18.4 million or 30% of sales from approximately -- or for the 6 months ended June 30, 2025, from approximately $11.1 million or 31.2% of sales for the 6 months ended June 30, 2024. Gross profit margin decreased to 30% for the 6 months ended June 30, 2025, from 31.2% for the 6 months ended June 30, 2024, primarily due to the acquisition of the Gander Group business in August of 2024, which operates at a lower margin than the Stran segment. Operating expenses increased 43.8% to approximately $18.5 million for the 6 months ended June 30, 2025, from approximately $12.9 million for the 6 months ended June 30, 2024. As a percentage of sales, operating expenses decreased to 30.2% for the 6 months ended June 30, 2025, from 36.2% for the 6 months ended June 30, 2024. Net income for the 6 months ended June 30, 2025, was approximately $0.3 million compared to a net loss of approximately $1.5 million for the 6 months ended June 30, 2024. As of June 30, 2024, we had approximately $18.1 million in cash, cash equivalents and investments. I'll now turn the call back to Andy for closing remarks.
Andrew Shape: Thank you, David. Before we end, I want to reiterate just how proud I am of what our team has accomplished. We delivered exceptional financial results, strengthened our foundation through strategic governance and advanced our reputation as a leader in the promotional marketing industry. But perhaps most importantly, we've positioned Stran for continued growth and innovation in the quarters and years ahead. Our strong balance sheet, expanding customer base, integrated operations and forward-thinking leadership gives us a powerful platform to build upon. We remain focused on our execution, disciplined capital deployment and long-term value creation for our shareholders. Thank you again to our employees, customers, partners and investors for your continued trust and support. We are encouraged by the momentum we've built and excited about the road ahead. I look forward to keeping you updated on our progress and sharing more about the value we intend to unlock as we continue to scale Stran. Thank you for joining us today and for your continued support of Stran. With that, we'll now open up the call to questions. Operator?
Operator: [Operator Instructions] Our first question is coming from Ted Pincus of Forrest Capital.
Unidentified Analyst: Just want to first congratulate you on the very strong results this quarter, and it seems like everything is firing on all cylinders. My first question is, I know you don't provide guidance, but can you give some color on the outlook for the second half and in particular, what your expectations are in terms of organic growth?
Andrew Shape: Sure. Yes. Thank you. Yes. So we are very excited about the changes that we made within our organization to really concentrate on our business model of getting more business from our existing customers, getting new business, expanding our offerings and really just advancing our technology. So we're excited to continue our top line growth. So as you saw, we had 30% organic growth in Q2, and we had over 20% organic growth in -- for the 6 months. So we're continuing with that to really diversify our client base, expand our client base and really just continue to work on balancing between growing the business through both organic and acquisition as well as cost management. That's one of the things that we've talked about is managing our costs, working on profitability, and that's what we're really concentrating on. So we're excited about the second half of the year. Historically, the second half of the year has been for the Stran segment, our strongest part of the year because of the holidays and the end of the year. So we're looking forward to that and ramping up to that once the fall comes and very excited for the outlook of our top line revenue growth to be significant by the end of the year.
Unidentified Analyst: That's awesome. You've also mentioned share buybacks in the past. Can you give your thoughts on any plans to buy back stock going forward?
Andrew Shape: Yes. So we look at our stock, obviously, we feel that we're undervalued. So we look at buying back the stock when we can. We are limited to volume restrictions of what we can buy back. We authorized -- the Board had authorized a $10 million share buyback. We've executed less than $4 million of that. In the quarter alone, we put in a 10b5 program where we could buy during the blackout window. Historically, we could only buy during an open window right after we reported up to, I think it was 45 days post that, that we could buy in the open market, and we were doing that. We executed that in Q1 when we could and then we put in the 10b5 program where we automatically would buy regardless of the blackout window. So we look at buying our own business at a very reasonable and valued price. So we will continue to do that and balance that by managing our cash while also taking advantage of buying ourselves for -- at a discount. So we want to -- we will absolutely continue with our buyback and find ways to continue to add shareholder value. The more we buy back, the more value our shareholders have and own in the company, and that's what we want to do. So we're excited to continue that buyback.
Operator: [Operator Instructions] Okay. We appear to have reached the end of our question-and-answer session. So I will now hand back over to the management team for any closing remarks.
Andrew Shape: Thank you, everyone, for the support, the commitment to Stran and believing in what we're setting out to do. We set out when we went public to become a leader in this industry, a true leader in this industry. And if you go back, what I always say to people -- if you go back and read our S-1 and what we said we're going to do, we've executed on all of that. We've grown the company significantly, nearly tripled in size in less than 4 years and we've done that through both organic growth and acquisitions, which we said we were planning on doing while also being good stewards of the capital that we raised. So we're really proud of what we've accomplished. I'm proud of the team that we've put together, what they have accomplished. It hasn't been easy for everyone. A lot of our competitors in this landscape have been challenged. The industry itself grew or shrank by over 3% in Q1 and Q2, while we had 30% organic growth and 95% overall growth. So we're really proud of what we accomplished, but we're not finished yet. We've just started where we want to go, and we have a lot more to accomplish and a lot more to prove to our investors and deliver back to our investors. So thank you, everyone, for believing in Stran and look forward to the future.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful day. We thank you for your participation.
Andrew Shape: Thank you.